Operator: Welcome to the Warner Music Group's Second Quarter 2014 Earnings Call for the period ended March 31, 2014. At the request of Warner Music Group, today's call is being recorded for replay purposes. [Operator Instructions] Now I would like to turn today's call over to Mr. James Steven, Senior Vice President, Communications and Marketing. You may begin. 
James Steven: Good morning, everyone. Welcome to Warner Music Group's Fiscal Second Quarter 2014 Conference Call. Both our earnings press release and the Form 10-Q we filed this morning are available on our website. Today, our CEO, Steve Cooper, will update you on our business performance and strategy; and our Executive Vice President and CFO, Brian Roberts, will discuss our financial condition and results, and then both of them will take your questions.
 Before Steve's comments, let me remind you that this communication includes forward-looking statements that reflect the current views of Warner Music Group about future events and financial performance. All forward-looking statements are made as of today, and we disclaim any duty to update such statements. Our expectations, beliefs and projections are expressed in good faith and we believe there is a reasonable basis for them. However, there can be no assurance that the management's expectations, beliefs and projections will result or be achieved.
 Investors should not rely on forward-looking statements because they are subject to a variety of risks, uncertainties and other factors that can cause actual results that differ materially from those -- from our expectations. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our earnings press release and Form 10-Q and other SEC filings.
 We plan to present certain non-GAAP results during this conference call. We have provided schedules reconciling these results to our GAAP results in our earnings press release posted on our website. With that, let me turn it over to Steve Cooper. 
Stephen Cooper: Thanks, James. Good morning, everyone. Thanks for joining us today. I also want to extend a warm welcome to those of you who may be new to our calls. We're happy to have you join us.
 First, I want to say that we were very pleased to complete another successful refinancing last month, in which we swapped our 11.5% notes for meaningfully lower coupon debt. The refinancing will generate cash interest savings of approximately $30 million per year. Brian will discuss this in more detail shortly. As we've been mentioning on these calls for the last 6 months, as expected, we had a lighter release schedule in the second quarter. As a result, revenue declined 3%, and adjusted OIBDA declined 10%. Even so, we generated free cash flow of $82 million. At the quarter's end, our cash balance improved to $149 million. That was up from $129 million at the end of December. We remain strongly committed to delivering solid free cash flow in the quarters to come. 
 Looking more broadly, there have been some notable Recorded Music industry developments. While it's still too early to assess the global industry trends for 2014, calendar 2013 data released in March by IFPI indicates top line stability in most major markets. Excluding Japan, which I'll address in a moment, industry revenue was virtually flat in '13. Including Japan, industry revenue was down 4%. Subscription revenue was up by 51%, driving 4% growth in global digital revenue. 
 Europe saw digital revenue growth of 13%, helping that region post its first overall increase in 12 years. In fact, 5 of Europe's largest markets, France, Italy, Germany, the Netherlands and the U.K., all returned to growth. 
 The U.S. recorded music market was stable for the fourth consecutive year, growing revenue by 0.8%, with strong demand for Streaming services. Subscription revenue grew by 65%, while ad-supported Streaming revenue grew by 13%. 
 These results contrast sharply with the Soundscan results you typically see highlighted in the press, which only reflect physical and digital unit sales and fail to capture the increasingly critical impact of Streaming services. The data clearly indicate that Streaming will be critical to our future. Streaming is a complex category as it is comprised of a wide range of models, including paid and ad-supported audio Subscription services, Internet and satellite radio services and ad-supported video services, many of which have yet to achieve scale. 
 Building scale and geographic reach is very important to the continued positive impact of Streaming services on our business, and we believe that bundling deals are an important element of achieving those goals. As such, we're very excited about a number of recent initiatives where a Subscription service has been bundled with a cellular plan or device. These include the Beats' Music/AT&T U.S. partnership, which launched in January. Sprint's just announced alliance with Spotify in the U.S. to offer a bundle with Spotify's premium tier, and Samsung's deal for its new Galaxy S5 smartphone, which gives 6 months of free access to Deezer's Premium Plus service in 15 countries, including the U.K., Germany and the Netherlands. Continuing to achieve robust digital growth remains a top priority and is one of the key components of our long-term strategy.
 Japan, which represents 1/5 of the industry's global Recorded Music revenue, had a very difficult year. Revenue declined 17% in calendar '13. Sharp declines in physical sales were coupled with declines in legacy mobile products, such as ring tones. Japan is still a very heavily physical territory, with 80% of the market being physical in 2013. 
 Pricing for the product is government-mandated, making those sales high-priced for consumers and high-margin for record companies. No widely accepted digital platforms have taken hold to offset the physical declines beginning to strongly impact the territory. 
 In March, we announced the appointment of Kaz Kobayashi as Chief Executive Officer and Shuji Utsumi as Chief Operating Officer of Warner Music Japan. We're all very excited about what their skills, their vision and their commitment to innovation will bring to Warner Music Japan, providing an even stronger platform for us as we continue to offer the best home for extraordinary talent in Japan, and work to return the Japanese market -- music industry to growth. 
 Even in the context of a lighter release schedule this quarter, we have a number of things to be excited about. Our Music Publishing investments continue to yield good results, our A&R marketing and promotional efforts, which remain at the core of our business, continue to break and develop new artists and further the careers of established artists, and our PLG integration remains on track. I'd like to talk about a few of these items in more detail. 
 Our Music Publishing business, Warner/Chappell, grew OIBDA and OIBDA margin just as it did last quarter. We recently signed a partnership with Zentropa, the largest film production company in Scandinavia. Warner/Chappell will manage Zentropa's current and future music publishing catalog around the world, further expanding our prestigious film music library. The partnership with Zentropa is our latest in a series of important film and television deals, following Warner/Chappell's recent acquisition of the masters and publishing rights within the Miramax and Lionsgate film and television catalogs. 
 Warner/Chappell recently signed a worldwide publishing agreement with chart-topping songwriter and former BMI Songwriter of the Year Aimee Mayo. Aimee is known for her collaborations with many of Nashville's top artists, including Tim McGraw, Kenny Chesney, Faith Hill, Sarah Evans and Carrie Underwood, as well as with pop artists such as Backstreet Boys, Jessica Simpson and Adam Lambert. 
 We also signed a worldwide co-publishing agreement with songwriter and Academy of Country Music producer of the year Jay Joyce. Jay has written and produced for a wide range of artists, from rock acts like Cage the Elephant and the Wallflowers, the country artists such as Eric Church, Little Big Town and Keith Urban. Warner/Chappell has also signed a worldwide co-publishing agreement with Jay's newly established publishing company Neon Cross, under which we will jointly signed and develop writers and artists. I want to congratulate Warner/Chappell in a number of it's artist on some recent honors. 
 Last month, Warner/Chappell was named ASCAP's 2014 Music Publisher of the Year for the second time in 3 years at the 31st Annual ASCAP Pop Music Awards. In addition, Warner/Chappell songwriter Nate Reuss honored with the ASCAP Vanguard award, which was presented to his band, Fun. Warner/Chappell songwriters also picked up 18 Most Performed Song of the Year awards. 
 Songwriters Robert Lopez and Christian Anderson López won the Academy Award for Best Achievement in Music Written for Motion Pictures, that's the original song award, for Let it Go from Disney's Frozen. The platinum-certified soundtrack album for Frozen, which we administer, in which includes 6 songs published by Warner/Chappell in its Deluxe Edition, has spent 13 nonconsecutive weeks at the #1 spot on the Billboard 200. That's the most in since Adelle's 21. 
 I'm also very happy to report that Warner/Chappell songwriters won an impressive 18 awards at ASCAP 22nd Annual Latin Music Awards. These recognitions demonstrate both our track record in signing the most promising songwriters in the business, as well as our ability to nurture their talents, build their careers and bring them to new levels of success as we continue to maintain our focus on artist development.
 Turning to our Recorded Music business. While the first half of our fiscal year was impacted by a lighter release schedule, we noted that our second half release schedule would be stronger, and we are in the heart of that right now. We've recently released albums from Lily Allen, Christina Perri and Paolo Nutini. Paolo's album, Caustic Love, became his second in a row to top the U.K. chart and is the fastest selling artist album in the U.K. year-to-date. In the next 2 weeks, we are releasing Coldplay's new album, Ghost Stories, and the Black Keys new album, Turn Blue. We've also released Sing, the first single off Ed Sheeran's highly acclaimed sophomore album entitled X (Multiply). We're excited that Johnny Hallyday, France's most iconic recording artist, has extended his recording contract with Warner Music France and has chosen Decibels Productions, a subsidiary of Warner Music France, to produce his next concert tour. This is another example of our dedication to long-term artist relationships. We're also proud to have recently announced a new deal with Prince, under which our first projects scheduled for later this year will be a 30th anniversary edition of his masterpiece, Purple Rain.
 In addition to furthering the careers of established artists, we are -- we also have multiple artist development stories taking shape. Warner Music Nashville's breakout duo, Dan + Shay, saw their first album, Where It All Began, enter at #1 on Billboards Country Albums Chart, making them the highest charting debut artist of 2014, and the only duo in Soundscan history to launch at #1 on the Country Albums Chart. Called "one of the acts that will help define 2014", by Billboard, Dan + Shay are also Warner/Chappell's songwriters and wrote their entire debut album. 
 During the week of March 24th, U.K. electronic group, Clean Bandit, had the most streamed track in the world on Spotify with their single, Rather Be. They received nearly 8,000 million streams per week -- 8 million streams, not 8,000 million, sorry. This single is almost -- is also the most Shazam song in history. It has become the most listened to track in the U.K. for 8 record weeks, according to OCC official streaming chart and is the longest running U.K. #1 on that chart. 
 As with our acquisition of PLG, we continue to focus on growing our global footprint through investment and creative excellence and diversity. To this end, we recently signed an agreement to acquire the Recorded Music catalog and current roster of Gold Typhoon Group, one of the most successful independent music companies operating in the Greater China region. The Gold Typhoon catalog is one of the largest and most acclaimed collections of local pop, rock and classical music from Greater China, Hong Kong and Taiwan. The deal's expected to close this summer. The deal follows our other recent moves in emerging markets, including the December 2013 launch of Warner Music South Africa, and our June 2013 acquisition of Gala Records Group in Russia. 
 Before I close, I want to mention that we recently added 3 new directors to our Board. They're Mathias Döpfner Chairman and CEO of Axel Springer; Noreena Hertz a noted economist, strategist and author; and Oliver Slipper Joint CEO of Perform Group. We look forward to the many contributions they will bring us from their various experiences in the entertainment industry and in running and advising companies. 
 Let me close by saying that with the right strategies in place, the industry's positive momentum and some significant releases to come, we look forward to discussing our business with you again, on our next earnings call in August. Brian? 
Brian Roberts: Thank you, Steve, and good morning, everyone. As Steve mentioned earlier, we are pleased to complete a refinancing of the largest portion of our existing unsecured indebtedness on March 26th, which closed in early April. As part of that transaction, we repurchased or redeemed all $765 million of our 11.5% senior notes. To complete the refinancing, we issued $275 million in senior secured notes in 5.58%, and $660 million in senior notes at 6.75%, both due April 2022. We also extended the term of our $150 million revolver from 2017 to 2019. As a result of the refinancing, we will realize annual cash interest savings of approximately $30 million. It is worth noting that as part of the refinancing, we paid $85 million of tender/call premiums, $19 million consent fees and $3 million of accrued interest in connection with our retired debt. 
 As Steve mentioned, and as we anticipated, our results for the quarter reflect the lighter release schedule. On a constant currency basis, including PLG, revenue declined 3%. Excluding PLG, which contributed $72 million of revenue, our constant currency revenue declined 13%. As we mentioned last quarter, our fiscal '14 release schedule is weighted to the second half, and we're beginning to see the fruits of -- as we head further into the third quarter. 
 As we've discussed on prior calls from an OIBDA perspective, certain adjustments are necessary to make the year-over-year comparisons more meaningful. We've highlighted these in our press release, but let me walk you through them. 
 In the quarter, we had $16 million in integration costs associated with the acquisition of PLG, including IT, supply chain and royalties integration costs, professional adviser fees, retention bonus and transitional employee costs, and $17 million in restructuring expenses, which were mostly employee-related in connection with the PLG integration. In the prior-year quarter, we had $3 million in professional adviser fees associated with PLG. 
 Adjusted OIBDA declined by 10% to $107 million, and adjusted OIBDA margin slipped 1 percentage point to 16%. Excluding PLG, which contributed $14 million in adjusted OIBDA, adjusted OIBDA declined 22%. 
 In Recorded Music, revenue fell 3% on a constant currency basis and fell 16%, excluding PLG. Digital revenue grew 5% in constant currency and was down 6% excluding PLG. This reflects strong worldwide growth in Streaming revenue, offset by revenue declines for downloads. 
 Recorded Music licensing revenue grew by 8% on a constant currency basis, or $4 million. Excluding PLG licensing, revenue declined by $6 million, or 12%. Artist Services and Expanded Rights revenue was up by 24% to $62 million from $50 million. The increase was a result of tours operated by our European concert promotion businesses in Italy and France. Artist Services and Expanded Rights revenue represented 12% of Recorded Music revenue as compared to 9% in the prior-year quarter. 
 Recorded Music adjusted OIBDA declined to 16% to $72 million, and Recorded Music adjusted OIBDA margin was down 2 percentage points to 14%. Excluding PLG, Recorded Music adjusted OIBDA declined 33%, reflecting our lighter release schedule. And Recorded Music adjusted OIBDA margin declined 3 percentage points to 13%. 
 March decline reflects the release schedule, as well as an increase in product costs associated with the growth in Artist Services and Expanded Rights revenue. 
 With regard to PLG, we continue to press forward with our integration, and are pleased to have recently completed the lengthy process of combining our businesses in France. We remain on track to achieve our $70 million in targeted cost savings. 
 Turning to Music Publishing. Revenue was also lower this quarter, slipping 4%. Mechanical revenue declined 19%, as a result of the continued shift of physical to digital. Digital revenue grew 10% or $2 million, while performance revenue and synchronization revenue each saw small timing-related declines. Music Publishing OIBDA grew 4%, and OIBDA margin improved more than 3 percentage points to 45%, due to onetime benefit and royalty costs. 
 We remain keenly focused on cash management and are committed to delivering solid free cash flow. Operating cash flow was $131 million versus $135 million in the prior year quarter, even if this quarter was burden by approximately $24 million in cash expenses related to the PLG integration and restructuring. 
 Free cash flow was $82 million versus $121 million in the prior year quarter, reflecting an increase in capital expenditures, primarily related to the PLG integration and an increase in cash paid for investments. As of the end of the March quarter, our cash balance was $149 million, up from $129 million at the end of the December quarter, even as we paid off the entire $55 million, which was outstanding on our revolver at the end of the December quarter. CapEx came in at $18 million for the quarter. As we said last quarter, we expect meaningful increase in 2014 CapEx as we continue to invest in long-term upgrades to our IT infrastructure, relocate our corporate headquarters, consolidate our offices across Europe in connection with the PLG integration, and take on some additional CapEx related to the PLG supply chain and IT. 
 As Steve noted, we continue to make progress throughout our business, focusing on artist development and digitalization, diversifying revenue and managing cost carefully, while continuing to invest in growth opportunities. With that, operator, please open the line for questions. 
Operator: [Operator Instructions] The first question is from Aaron Watts from Deutsche Bank. 
Aaron Watts: I guess the overarching theme here this quarter, just looking at the numbers here in your commentary, is that the light release say, it really just kind of influence the direction of all things. But I could just ask a couple of quick questions. On the cost saves, with PLG, the $70 million, how much of that -- of those savings are already kind of flowing through versus still on the comp? 
Brian Roberts: The only thing that isn't flowing through materially in this year is the element related to our French operations. So we have a good piece of it already flowing through the results and there will be a piece that's yet to come, Aaron, which is exactly what we had said when we had acquired PLG that we get that, we do it over a 18- to 24-month period and get those savings in that same period. You can still see in some of the counts on covenant EBITDA that we still have some savings to come. 
Aaron Watts: Okay, all right. And then, on the digital decline, in the quarter. I know this is a tough one, but as you think about that, how much of that decline was driven by the release slate? And maybe that the question really is, just as you continue to watch a shift from downloading to Streaming take place, how do you see that netting out for digital revenues? 
Stephen Cooper: Well, Aaron, on the -- the first part of the question, I think our digital decline was more pronounced than the industry declines because of our light release schedule in the first 2 quarters. With respect to the downloads versus Streaming, Streaming is growing rapidly and is compensating, frankly, for the decline in downloads. And we would expect that Streaming continues to show meaningful growth in the future and should, hopefully, continue to outstrip the decline in downloads. The Android world continues to have a higher and higher percentage of smart devices, whether it be phones or tablets. And we would expect that, that is going to accommodate the ongoing growth in Streaming. So we're very positive about that future trend. And are confident that as the Streaming services are both individually and the aggregate, really reach worldwide scale, that it will be a tremendous addition to our industry revenues. 
Aaron Watts: Okay, that's helpful. I guess just carrying that along, I know we're early in the process, but and you said it was Streaming can be a complicated kind of arena for you, but just thinking about the different revenue streams that come in. So can you maybe just clarify, you're getting -- you get a piece of like subscriber fees that Spotify, for example, who collect a piece of advertising as well as kind of a cut every time a song is listened to? Is that the right way to think about the different inflows? 
Stephen Cooper: Typically, on these services, we get paid in several different ways. Our revenue streams come from either separate sources or the greater of source. And those sources are: 1, subscription revenue; 2, per play charges; or 3, ad revenue. And those revenue streams will vary service-to-service. Obviously, you have ad-based services, you have Subscription services and you have hybrids that offer both. But we will get paid from any or all of those sources, Aaron. 
Aaron Watts: Do you need people to start paying or the subscriber fees to really ramp up for Streaming to be a big success? Or can advertising -- do you think drive the product? 
Stephen Cooper: Well, I think it's a, I think it's both. One, I think that we would love to see more subscribers and all of the indications are that hundreds of thousands of subscribers from the data we see, are being added every month. We also see growth in ad revenue and we're beginning to see, in some instances, more pronounced shift from non-digital advertising and into digital. And in fact, all the studies that we've seen indicate that they believe that the growth in digital ad revenues will continue to be meaningful for the foreseeable future. And that's, frankly, what we like to see. We like to see the growth coming from every revenue stream, and nothing in the data indicates that those expectations will not be met over time. 
Aaron Watts: Okay, great. Last one for me and I really appreciate all your thoughts on this stuff. Just as we think about kind of your working capital and your cash flow, in a world that's shifting from $1.29 download to the Streaming world. Is there anything we need to keep in mind as we model in terms of recognition of revenues and working capital? 
Stephen Cooper: Well, our revenues get recognized on a cash basis. 
Brian Roberts: Streaming world We wait til we collect. 
Stephen Cooper: Sorry, we wait till we collect in the Streaming world. I think that for, in all candor for modeling purposes, I think that Streaming revenue ends up having a longer recovery period for our investment, but it's more sustainable over time as compared to just the one-off sale. And what we've seen is, as our music contains certain Streaming levels. Out-of-the-box, it has a tendency to maintain those for longer periods, Aaron. So I don't know how that impacts your models, but I think that as we get more and more scale then Streaming, it will become much more of the dominant revenue stream for our industry in the future. 
Brian Roberts: Great. Aaron, I think we've said before, that this shift from physical to digital actually is a working capital fuss for us. So and even the shift from downloads and the way we collect downloads, and Streaming in the way we collect that, that shift is not going to have a meaning working capital shift from what you've seen our business going through as we move from physical to digital. 
Operator: [Operator Instructions] . 
Stephen Cooper: I guess that's it. Thanks, everyone. We'll will chat with you in August and have a wonderful summer. Bye-bye. 
Operator: That concludes today's conference. Please disconnect at this time.